Operator: Hello, and welcome to today's Northwest Natural Holding Company Fourth Quarter 2022 Earnings Call. My name is Bailey, and I'll be the moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Nikki Sparley, Director of Investor Relations. Nikki, please go ahead.
Nikki Sparley: Thank you, Bailey. Good morning, and welcome to our fourth quarter 2022 earnings call. As a reminder, some things that will be said this morning contain forward-looking statements. They are based on management's assumptions, which may or may not occur. For a complete list of cautionary statements, refer to the language at the end of our press release. We expect to file our 10-K later today. As mentioned, this teleconference is being recorded and will be available on our website following the call. Please note, these calls are designed for the financial community. If you are an investor and have additional questions after the call, please contact me directly at 503-721-2530. News media may contact David Roy at 503-610-7157. Speaking this morning are David Anderson, President and Chief Executive Officer; and Frank Burkhartsmeyer, Senior Vice President and Chief Financial Officer. David and Frank have prepared remarks and then will be available, along with other members of our executive team to answer your questions. With that, I will turn it over to David.
David Anderson: Well, thank you, Nikki, and good morning, and welcome everybody. 2022 was a transformative year on many fronts. We grew our gas and water utilities. We began operation of our first renewable natural gas facility under the landmark Oregon Senate Bill 98 legislation, which is now producing RNG on behalf of our gas utility customers. We closed our largest water and wastewater acquisition to-date and construction began on the first of the facilities that we're investing in through our competitive renewable natural gas business. We also increased dividends for the 67th year and were recognized by Ethisphere as one of the 2022s world's most ethical companies. For 2022, we reported net income of $86.3 million or $2.54 per share. That's an increase of $7.6 million or around 10% compared to net income of $78.7 million or $2.56 per share in 2021. Higher revenues in Oregon drove results at the natural gas utility, along with solid customer growth. This morning, I'll walk through some economic indicators and notable trends coming out of the winter heating season. Frank will go through the financial results, and then I'll wrap up with an update on our decarbonization initiatives at our gas utility and a business update for water and the competitive renewable natural gas business. Turning to a few comments on the economy. In our gas utility service territory, we continue to see GDP growth at a good clip, while the housing market has moderated from its highs in 2021. In Oregon, employment grew at a strong annualized rate of 4% in the fourth quarter. Unemployment was 4.5% in December 2022, up from a low of 3.5% in July of last year. As expected, single-family housing activity cooled as interest rates rose last year. Home sales, new listings and average prices were all down. Permian activity is expected to moderate further in 2023. Overall, the gas utility customer growth in 2022 reflected these issues. Yet despite these factors, we added nearly 8,600 new customers during the last 12 months or for a growth rate of 1.1%. Our water and wastewater utilities continue to operate in areas that have solid economic footing. Unemployment rates in our highest growth water service territories range from 2% in Idaho, to 3.5% in Texas. Population growth is above average in nearly all the counties, our water assets are located in. Our properties are especially well situated in Houston, Texas, then Oregon and our Idaho locations. As a result, we experienced growth across our water utilities in several pockets of outperformance. Texas remains an extraordinary market with our water and wastewater utilities, there posting 8% organic growth. The housing market in Idaho is strong with our falls water utility providing 4% growth. And on a consolidated basis, our water and wastewater utilities grew 3.8% over the last 12 months. In addition to this organic growth, our recent acquisition of the Far West assets in Arizona increased our water customer base by nearly 70%, to a total of 62,500 connections. On a consolidated basis, our collective gas and water utility customer base grew, 4.6% last year. Now a few comments on the gas utility, on November 1st, new rates for gas utility customers went into effect for the current heating season. That included the impacts of the general rate case we concluded in Oregon last year and the second year of the multiyear Washington case.  We know that this is a difficult time with inflation weighing on households, and that's why we worked closely with the commissions, staff and stakeholders to support customers. What resulted was a multi-pronged strategy that included a special tariff for low-income customers in a rare -- excuse me, a rate mitigation tariff for all residential customers that smooth the rate impact over the year, so a greater portion of that increase is felt in the summer months when builds are lower. These two new programs are on top of a suite of existing offerings, designed to help the most vulnerable in our communities. Despite these increases, our customers are paying less today for their total natural gas service bill, than they did 15 years ago. Our focus on supporting energy efficiency and on prudent expense management along with smart investments in gas storage assets helped moderate volatility in gas prices for customers last year. And now more than ever, we know our focus on affordability and reliability is, key to meeting the needs of our community. This winter, once again showed the value of our system and the importance of peak planning. On December 22nd last year, we hit a record send-out, and I'm pleased to report our employees rose to the occasion and our system performed very well. Our storage facilities and overall hedge position work to mitigate the amount of gas purchased on the spot market and helped to minimize the impact to customer bills. This was incredibly important, as prices spiked in our region throughout December due to extended cold weather and infrastructure constraints in the Desert Southwest. We were able to manage through the event with ample liquidity, and our balance sheet remains strong. Meeting the moment in December was the result of disciplined investments in the system over many, many decades. This consistent investment is why today we operate one of the tightest and most modern systems in the country. It's also why our energy system is an energy powerhouse for the communities we serve. As everyone on this call knows, we are all-in on decarbonization and believe, both the electric and gas systems should continue to evolve here. In this discussion, some believe, we should be electrifying all gas loan. We do not think that is the right answer for our region or our country. As you look at our system, it's very important to understand, how difficult that task is with little to no true benefit in carbon reduction. Let me give you an example. Turning back to December 22nd, it was a record send-out day with 8 million terms delivered to our customers. That is a tremendous amount of energy delivered safely and reliably day-in, day-out. Between 8 and 9 a.m., Northwest Natural of that day, Northwest Natural delivered approximately 41 million cubic feet of gas, of which 23 million served our residential customers. We commissioned a consulting firm to help us estimate what it would pay for our local electric system to serve that same customer load for just one hour. And what we found is that if all our residential customers' appliances were replaced with electric ones, it would require more than 3.4 gigawatts of new electric capacity to provide the same energy our system did for that one hour. By the way, that is about the same peak low the electric system hit that same day. To put this amount of energy into perspective, it's equivalent to 3,150 megawatts or simply stated 7,450 megawatt plants that will all be fueled by natural gas. Costs would be likely around $4 billion, assuming you could get things cited and permitted. But by state policy, new gas power plants are very likely challenged to build in the Northwest. So we also wanted to explore what it would take with only electric renewables. And to rely on a combination of wind, solar and battery storage, which require approximately 14 gigawatts of new capacity at a cost of approximately $20 billion. And that's using National Renewable Energy Lab and Berkeley National Lab’s capital cost data. Based on NREL estimates, it would also require about 700 square miles of land to build all that new infrastructure. And importantly, these estimates don't include the incremental electric transmission and distribution system costs or the cost to change out end-use appliances. Whatever required to electrify just our residential gas use staggering, even if you could feasibly do it and spread the impact over the next three decades. That's why we believe the most viable and effective climate strategy is to leverage our system already in place in new innovative ways. As we work hard to balance affordability, reliability and environmental stewardship at the center of our business is our customers. That's why I'm thrilled that Northwest Natural ranked second in the West among large natural gas utilities and scored among the top 10 utilities in the nation in the J.D. Power's Residential Customer Satisfaction Study. This continues a nearly 20-year legacy of outstanding results for us. I'm proud of all of our employees who make this exceptional service happen every day, year-after-year. They continue to set us apart in the way they care for customers, and I'm incredibly proud of this legacy. With that, let me turn it over to Frank to cover some of the financial information for the quarter and the year. Frank?
Frank Burkhartsmeyer: Thank you, David, and good morning, everyone. I'll begin by discussing the highlights for the fourth quarter and full year 2022 results and conclude with guidance for 2023. I'll describe earnings drivers on an after-tax basis using the statutory tax rate of 26.5%. As a reminder, Northwest Natural's earnings are seasonal with a majority of revenues and earnings generated in the first and fourth quarters during the winter heating months. For the fourth quarter, we reported net income of $47.9 million or $1.36 per share compared to net income of $40.5 million or $1.32 per share for the same period in 2021. On a quarter-over-quarter basis, our gas utility provided an additional $7.4 million or $0.05 per share due to higher earnings from increased revenues and lower pension expense. Our other businesses posted a profit on par with last year's results. Higher earnings at the gas utility were primarily related to new rates for Oregon and Washington, along with lower pension expense, which was partially offset by higher operating expenses. Utility margin in the Gas Distribution segment increased $12.6 million as a result of the new rates and customer growth. Utility O&M increased $4.1 million, reflecting higher levels of expense for contractor and professional services and information technology costs. Utility depreciation and general taxes increased $1.8 million due to higher property, plant and equipment as we continue to invest in our system. Other income net improved $2.8 million, primarily from lower pension expense. Interest expense increased $2.3 million due to a combination of higher rates on commercial paper and incremental long-term debt issued to fund rate base growth. For the full year 2022, we reported net income of $86.3 million or $2.54 per share, combined to net income of $78.7 million or $2.56 for 2021. While net income grew $7.6 million, earnings per share was slightly lower year-over-year due to the issuance of common stock during 2022. On a per share basis, our gas utility contributed an additional $0.10 of earnings in 2022, offset by a reduction of $0.12 in contribution from our other businesses. Higher earnings at the gas utility were primarily related to new rates in Oregon and Washington, customer growth and the amortization of deferrals approved in the Oregon rate case. As a result of these factors, utility margin increased $19.2 million. Utility O&M increased $12.3 million, reflecting higher levels of contractor and professional services and IT upgrades. Utility depreciation and general taxes increased $3.2 million due to higher property, plant and equipment investment. Other income increased $9.3 million driven by lower pension cost. Interest expense increased $2.5 million, primarily due to incremental long-term debt financing. Our other businesses contributed $6.6 million, which was lower than the prior year largely due to higher interest expense as we continue to invest in our water platform. For 2022, cash provided by operating activities was $148 million. We invested nearly $340 million into the business, most of which was for gas utility capital expenditures and invested $94 million for water and wastewater acquisitions. Related to our financings, we issued 4.4 million shares of common stock in 2022 to raise $209 million and executed agreements for $140 million of incremental long-term debt to support the gas utility and $150 million for growth in our water utilities. Our credit ratings remain unchanged with a stable outlook. That includes Northwest Natural's senior secured long-term debt rating of AA minus for S&P and A2 for Moody's. I'm pleased with our ability to access the capital markets in this dynamic environment and take this financing risk off the table. We'll continue to evaluate our liquidity needs in 2023. Our objective remains to keep our balance sheet strong with ample liquidity. Moving on to 2023 guidance. Gas utility capital expenditures for the year are expected to be in the range of $310 million to $350 million, a similar level of investment to 2022 as we continue to have significant projects related to our gas utility system. Consistent with these business drivers, the company initiated earnings guidance today for 2023 in the range of $2.55 to $2.75 per share. Guidance assumes continued customer growth, average weather conditions and no significant changes in prevailing regulatory policies, mechanisms or outcomes or significant changes in laws, legislation or regulations. We continue to target a long-term earnings per share growth rate of 4% to 6%. With that, I'll turn the call back over to David.
David Anderson: Thank you, Frank. Turning to a few updates on our key long-term objectives. Our long-standing core value of environmental stewardship is a driving force behind the choices we make every day in our operations and in planning for the future. We believe climate change requires a rapid innovation and collective action, which is why we're committed to reimagining the role of our system and the fuel we deliver. We're taking tangible steps forward today. Our engineering team completed 15% hydrogen blend test at our Sherwood operations and training center at the end of 2022, with solid results that allow us to confidently move forward with testing a 20% blend this year. We're also continuing to work on an exciting turquoise hydrogen pilot project to turn methane into clean hydrogen and solid carbon. We'll be testing this groundbreaking technology at our Portland operations facility soon. This project is in partnership with Modern Electron, and we continue to expect the project to go live in the first half of this year. We've signed contracts with several of our commercial customers to also pilot new CarbinX equipment. This equipment captures carbon from existing boilers to reduce both energy use and greenhouse gas emissions. The carbon dioxide is converted to potassium carbonate, which is blended into SOP [ph] products. We believe both of these technologies have great promise and are excited to be at the forefront of bringing them to market. And we're not alone in embracing decarbonization for the gas utility system. As part of our focus on innovation and collaboration, Northwest Natural team members joined policymakers on an RNG and clean hydrogen fact-finding trip to Denmark to understand how they're already implementing these strategies. Notably, Denmark is already delivering roughly 30% RNG in its gas system and is working towards meeting 75% of its gas demand from RNG by 2030 and 100% by 2034. There is no reason why Oregon in the US can't dip to these kinds of substantial volumes with the right set of climate policies and incentives. We know voters in our region want choice and renewables. In a survey conducted by an independent leading opinion research firm, results showed that 70% of orders in our service territory want the freedom to choose the energy use in their home. You can't get 70% of people to agree on much today. So that kind of support for gas, in my opinion, is impressive. We are focused on continuing to help our communities understand the value of the natural gas energy system today, while also leading the way to putting renewables in the pipelines. And we know our communities support this comprehensive, diversified approach. Moving now to an update on our competitive renewable natural gas business, as you know, through that business, we're focused on providing cost-effective solutions to help a variety of sectors decarbonizes, using existing waste streams and renewable energy sources. We continue to see strong demand for RNG and growth beyond the established vehicle fuel markets. Voluntary procurement of RNG is increasing and additional compliance markets are developing. According to the analysis, we've seen from Bloomberg and McKenzie, demand will likely require 2.5 times more production than current levels by 2030 to meet announced decarbonization targets. And if you add in project needs, driven by the transportation markets and gas utilities, blending RNG into their system, that demand could require eight to 10 times more production of renewable natural gas. As the market develops, we continue to look at opportunities across the spectrum. This could include owning or contracting RNG from established facilities, acquiring existing projects or developing greenfield projects. Our main focus is working toward a portfolio of projects that generate stable, growing income and cash flows and fits -- that fits our overall corporate strategy. A good example is our first project. Under the agreements, Northwest Natural Renewables has contracted to invest approximately $50 million in two facilities that are being developed by EDL. Substantial completion and commissioning of those facilities is anticipated in the second quarter of this year. Northwest Natural Renewables has contracted for the near-term RNG supply produced from that facility to be sold to an investment-grade counterparty. The RNG supply and offtake deliveries begin once the facilities start commercial operations. I continue to be excited about the growth potential of this business and look forward to adding new projects and pursuing additional opportunities. Turning to our water and wastewater utility businesses. As you know, in the fourth quarter of 2022, we closed our largest acquisition to-date and entered a fifth state with the Far West water and wastewater utilities in Yuma, Arizona. These utilities are in a fast-growing region, which currently serves approximately 25,000 customers. Our team hasn't wasted any time and has already signed another agreement to acquire another water utility in the region, serving approximately 1,400 customers. We believe there are incremental opportunities to grow our presence in Arizona. Northwest Natural Water also recently signed agreements to acquire water and wastewater utilities serving additional customers in the growing state of Texas. Since our water strategy began in 2017, we've grown through more than 25 acquisitions. What started with water utilities quickly turned to opportunities in wastewater, with our sights set on private companies, we also found a municipal system and an equity investment that expanded our portfolio and added value. Recently, we signed an agreement that will add another opportunity set to our water business and complement our acquisition strategy. Under the agreement, Northwest Natural will support a real estate management company, as it builds out the water and wastewater infrastructure for a new multifamily development on the west side of Houston. Partnering with the developer allows us to do what we do best, build and own utility infrastructure, while allowing the management company to focus on the overall project execution. We believe our expertise makes us the premier choice for developers and provides us the opportunity to own water infrastructure from the first day it is placed in the ground. Once all pending acquisitions closed, Northwest Natural Water will have invested approximately $270 million on acquisitions and maintenance CapEx and serve a total of 65,000 connections. In conclusion, we're proud to operate three growing businesses, and I'm grateful for your confidence. I'm also grateful for our dedicated employees whose tenacious focus on service, innovation and environmental stewardship allows us to meet the moment in these changing times. We'll continue working on your behalf to execute on the opportunities across all of our businesses. So thanks for joining us this morning. With that, we'll open it up for Q&A. Bailey, I'll turn it over to you to facilitate that, please.
Operator:
David Anderson: Well, thank you, Bailey. We must have been very thorough in our prepared remarks, but I also know it's a Friday. So, if you have any questions after you review materials, everybody knows to reach out to Nikki Sparley, and she'll be happy to help in any way she can. With that, we'll conclude the call. Have a great weekend, everybody, and thanks for joining us.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.